Operator: Good morning and welcome to SOPHiA GENETICS' Fourth Quarter Fiscal 2022 Earnings Call. All participants will be in listen-only mode. [Operator Instructions]. Please note this event is being recorded.  I would now like to turn the conference over to Katherine Bailon, Head of Investor Relations at SOPHiA GENETICS. Please go ahead.
Katherine Bailon: Good morning and thank you for joining us on SOPHiA GENETICS Q4 fiscal 2022 earnings call. My name is Katherine Bailon, and I am Head of Investor Relations at SOPHiA GENETICS.  Joining me today are Dr. Jurgi Camblong, our Co-Founder and Chief Executive Officer, and Ross Muken, our Chief Financial Officer.  Before we get started, I'd like to remind you that the management team will make statements during this call that are forward looking, within the meaning of US federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appear in the section entitled Cautionary Statement Regarding Forward-Looking Statements in Form 20-F on file with the SEC. Except as required by law, SOPHiA GENETICS disclaims any intention or obligation to update or revise any financial or product pipeline projections or other forward-looking statements, whether because of new information, future events, or otherwise.  This conference call contains time sensitive information and is accurate only as of its broadcast March 7, 2023.  This presentation includes non-IFRS financial measures. These measures are calculated by management and do not have any standardized meaning under IFRS. These non-IFRS measures supplement IFRS measures, but should not be viewed as substitutes for IFRS measures. We have included a reconciliation of IFRS measures to non-IFRS measures in our press release issued this morning, which is available on our website.  Please note both a replay of this call and the earnings release will be available on our website in the Investors section.  And with that, I'll now turn it over to Jurgi.
Jurgi Camblong: Thank you, Katherine. And good morning, everyone. 2022 was a tremendous year for SOPHiA GENETICS, and I am pleased to share with you today the momentum that we built in the period, including a strong finish to our fourth quarter.  On today's call, I will review our 2022 year as a whole and the organic growth acceleration we experienced throughout the year and into Q4. Next, I will share my thoughts about the key deliverables we executed upon as a company in 2022, and tie our focus areas back to a discussion with you about fiscal discipline at SOPHiA GENETICS, as demonstrated by our third consecutive quarter of improved operating leverage. Then I will touch on our partnerships that fuel our ecosystem and wrap up with our six strategic pillars guiding SOPHiA's long-term trajectory towards being the preferred cloud-native software analytics platform for healthcare participants globally. I will then turn it over to our Chief Financial Officer, Ross Muken, will provide a more detailed look into financial results for the period and our outlook for 2023, and we will end by taking your questions.  Please join me in congratulating Ross who, in addition to being ever capable CFO, is being promoted as of March 15, 2023 to Chief Operating Officer. Congratulations, Ross.  Let me start by reminding you that when SOPHiA GENETICS went public, investors had one expectation and three questions for us as a company. The major expectation was for SOPHiA to deliver on its top line growth commitment, while the three questions were: One, while successful so far in Europe, is SOPHiA GENETICS' decentralized model compatible with the US market; two, would SOPHiA GENETICS be able to demonstrate that their anonymized genomic profile data collected in the course of their clinical business would have value beyond clinical, especially to biopharma; three, could SOPHiA GENETICS show that their AI and machine learning algorithms would be applicable across multiple modalities beyond just genomics.  I would suggest today that, given the momentum we have demonstrated this year, we have not only delivered on our growth commitments, but can also confidently answer yes to all three questions, all while having to overcome the unexpected challenges associated with both a volatile macroenvironment and a constrained capital marketplace.  So, we at SOPHiA have taken on these lofty expectations and challenges in stride and are committed both on finding efficiencies and to achieving our growth in a sustainable fashion without incurring significant incremental costs.  Let me start by acknowledging the strongest evidence of our success. In 2022, we delivered robust full-year revenue growth of 39% on a constant currency basis after adjusting for COVID-related headwinds. I am incredibly proud of this achievement. Full-year 2022 constant currency revenue growth was 32%, in line with our long-term constant currency growth guidance of 30% to 35%.  I should remind you that we introduced our COVID-19 solution in Q4 2020, in response to the global pandemic impacting our customers. Given this, COVID analysis had a reasonable impact on our 2021 results, as some of our customers shifted efforts within their laboratories to address global testing initiatives, which we were able to help accommodate, thereby demonstrating the versatility of our platform.  R&D in 2022, we decided to shift our focus back towards our core of oncology and rare disease applications. So, we are quite pleased that adjusting for the impact of COVID-19 related headwinds in 2022, our growth in 2022 was, as I stated, a robust 39%.  Why are we having such a strong market adoption during a period many would consider challenging? Healthcare institutions continue to choose SOPHiA GENETICS as their trusted cloud-based analytics platform for establishing data driven medicine as their standard of care.  In 2022, we served more than 750 customers across 72 countries. Of our more than 750 customers, 390 are recurring SOPHiA DDM platform customers. I am also thrilled to announce that we signed 58 new customers in 2022.  During the year, we continued to improve positioning of the SOPHiA's platform in the market to where it can have the greatest impact, helping inform clinicians in their determination of cancer and rare diseases. This happens through our ability to handle complex cloud data sets produced from next generation sequencers.  Our customers are producing locally what are incredibly large, noisy, raw data sets that can be up to 2 terabytes in size. The production lab at our customers is often an heterogeneous environment, using multiple types of sequencers, and potentially using chemistry from many different suppliers.  From their labs, our customers upload those files from the sequencer onto our decentralized SOPHiA DDM cloud platform. We then apply our disease-specific machine learning and artificial intelligence based algorithms, which, in essence, is proprietary code that we have built up and trained meticulously over the 12 years since our founding.  It is with this code, our secret sauce, if you will, that we find and harmonize signals in the huge and noisy genomic file and identify and annotate the relevant biomarkers, which the pathologists or the geneticists will have access to through SOPHiA DDM.  With each genomic profile we analyzed, over 1.2 million as of December 31, 2022, our algorithms become incrementally more robust. And because our global network is cloud based, the benefits to cancer and rare disease patients are realizable nearly instantaneously.  Our cloud design [Technical Difficulty] up to 18% year-over-year. Importantly, I want to highlight for you that, to date, the SOPHiA DDM platform has supported the analysis of more than 1.2 million genomics profiles, recently growing by more than 24,000 new profiles per month. This, we think, makes us the industry leader. We're excited with the momentum we see as users continue to increase their utilization after experiencing the value of the SOPHiA DDM platform.  As our focus shifts towards more complexities areas where the benefits from our technology are high, it's no surprise that, in 2022, we saw an expected and desired lift in overall ASP. This is above and beyond the expected price increase we took mid-year in 2022. HRD is one example of a product that is helping mix with a notably higher ASP.  So to carry this idea through, the strategic focus on oncology and rare diseases is evident in our reported revenue growth outpacing our analysis volume growth. This is an important phenomenon, as we expect mix or the value of each analysis patient to increase at a healthy cadence over time.  While I discussed how we delivered on our guidance for 2022, I want to also draw for you the picture of how that played out over the year. We are pleased to share that constant currency ex-COVID revenue growth accelerated each quarter in 2022, finishing the year with 44% year-over-year growth in the fourth quarter. And adjusted gross margin ended the year at a high of 75% for the first quarter of 2022 compared with 65% for the fourth quarter of 2021, bringing our full-year results increasingly closer to our long term target of 70%. These figures, analysis, volume, gross margins, and accelerating revenue growth, suggest to us that our strategic path is strong.  While our top line performance has, of course, been a keen focus, of equal focus has been our desire to solve the new challenge of optimizing capital efficiency. Reducing operating expenses is a muscle we learned to flex in 2022. We reduced our operating expenses in each of the last three quarters of the year, and intend to continue to advance our fiscal discipline and ability to make the best use of our cash balance. We have been very precise, intending to control our indirect costs. We also targeted projects, maintaining sponsorship of key programs, but not all.  So, in summary, I am proud to say we have delivered on our commitment of revenue execution with a material added benefit of cost discipline. So, as I suggested in my opening remarks, when we went public, there were several outstanding questions.  With respect to the first question, let me expand on the compatibility of SOPHiA GENETICS' decentralized model in the US market. The major proof point in 2022 and one that we are super proud of is our new relationship with Memorial Sloan Kettering (MSK) Cancer Center.  Considered one of the most prominent cancer centers in the United States, we entered into an agreement where we will commercialize the first comprehensive liquid biopsy test powered by the SOPHiA DDM platform. By combining our predictive algorithms and the power of global SOPHiA GENETICS network with the clinical expertise of MSK in cancer genomics, we jointly envision that advanced precision oncology tools will reach a more diverse global population of cancer patients.  Next, turning to US customer momentum, I would like to highlight a recent win at the University of Arkansas. They will be implementing SOPHiA DDM to gain deeper insights into hematological malignancies. University of Arkansas for Medical Sciences, UAMS, is the state's only health sciences university. SOPHiA DDM will enable them to synthesize NGS data in-house, building on local expertise and allowing for materially improved data turnaround time, which is crucial given the fast moving nature of hematological malignancies such as leukemia, lymphoma, or multiple myeloma, cancers that together as a group are the fourth most frequent type of cancer globally.  Beyond University of Arkansas, I would also highlight Synergy Labs, a US full service the diagnostic lab based in Mobile, Alabama, which we signed in the fourth quarter. They will be using SOPHiA DDM for hereditary cancer solution. They decided to use our platform because they felt we could help them accelerate their menu offering to the forefront of hereditary cancer patient outcome.  Synergy is also typical of many of our central lab clients as they have NGS sequencers from multiple leading suppliers in the lab. The NGS data coming off each machine is a bit unique. Normally, a lab would either use off-the-shelf software sold by each manufacturer specialized for that specific machine, or homegrown solutions that are expensive to scale and difficult to maintain.  The code for the software programs typically struggles in such a heterogeneous environment, as oftentimes this software has limited compatibility with respect to the output files of various competitors' regions, automation or library prep tools.  We at SOPHiA solve this heterogeneous environment challenge in the customers lab through our platform's innovative and unique capability to harmonize signals in the data regardless of the source of the region's sequencer. It is a key differentiator for SOPHiA DDM.  So, if I may tie this back to the US market and Synergy, after 12 years of code development and refinement, we are able to confidently digest genomic data from heterogeneous environments like Synergy, and in doing so, helps Synergy deliver the most accurate results in a secure manner at the lowest cost. This is a winning solution for both us and them.  In total, I am pleased with our progress in North America and look forward to updating you in 2023 on our continuous progress.  And for our second question, could we show that our anonymized genomic profile data produced locally at the source and not purchased, as some of our competition do, has value beyond clinical, especially to biopharma customers?  When we thought about this, we felt that pharmaceutical companies faced similar challenges to the clinical space regarding data and silo when reconciling their clinical trial data with disparate real world data sources. These challenges result in high variability in the quality of insight.  We serve our biopharma customers by helping them solve bottlenecks across the biopharma value chain, aligning our product, services and applications to address the drug development continuum from discovery to development and, ultimately, deployment. We call this the 3Ds, all of which are powered by SOPHiA DDM data generated in real time and in the real world.  We launched our initial applications for the biopharma market in 2019 and we currently have four branded applications for biopharma customers. So, back to the question, is SOPHiA able to show value to biopharma?  I will tell you my opinion on this is a resounding yes. And the proof point that demonstrates that is our February announcement expanding our AstraZeneca partnership.  We started working with AZ in the deployment phase. This was taking HRD testing worldwide with AstraZeneca's support. Then, from there, we built on our relationship and are now working with them on discovery. Now we will be collaborating on how SOPHiA's multimodal technology and expertise could be applied to AstraZeneca's global leading oncology portfolio.  Beyond Astra, we're today in conversation with over half of the top 20 pharma companies in the world as well as many leading CROs because we would argue they understand the benefit of our network, our platform and the data we have.  With new biopharma customers, we expect they may have different start points with SOPHiA, but they will follow the same land and expand behavior we see in the clinical space.  Beyond those traditional biopharma players, we announced in September that we are working with Boundless Bio regarding a very exciting technology in ecDNA. Boundless Bio is a next generation precision oncology biotech company, developing innovative therapeutics directed against extra chromosomal DNA or ecDNA in oncogene amplified cancer. Extra chromosomal DNA involves release of DNA outside of the chromosome, and is found in around 40% of metastatic cancer. Boundless Bio is developing the first therapies along with a precision diagnostic method to detect ecDNA from a patient's routine to more sequencing data. Our partnership will further develop this diagnostic method for use in clinical trials.  Our decentralized global genomics solution combined with Boundless Bio drug development capabilities to unlock value by breaking the barrier inherent to a traditional central lab approach. This should lead to optimized patient selection and clinical trial design, and enable our global collective network of major hospitals and academic centers to effectively deliver new treatment options to patients with oncogene amplified cancers.  And beyond that, as we always say, data is important. Now with Memorial Sloan Kettering, SOPHiA DDM will have incremental access to over 75,000 curated clinical genomic profiles across cancer types. Together, we are going to democratize the use of precision medicine applications around the globe.  Now, let me address the third question, the viability of our platform when applied to other modalities beyond genomics. From early on, we have felt that, over time, our insight should be generated not just from genomic data, but also from imaging, clinical and laboratory data. Intuitively, we have felt that data gathered from data modalities beyond genomics out to further improve the predictive capabilities of our algorithms for the benefit of patients.  I will tell you, for us, multi-modality has delivered strong proof of concept across a range of cancer types. The flagship example of the promise of such multimodal approaches is our DEEP-Lung-IV multimodal clinical study, which we launched in December 2021. The DEEP-Lung-IV study focuses on the treatment of metastatic non-small cell lung cancer patients with immunotherapy. And in this context, we aggregate real world multimodal data, including genomic data, radiomic data, clinical data and biological data. Our technology then leverages deep learning enabled analysis of the aggregation of its real words multimodal data to identify and validate predictive signatures of response to therapy, progression free survival or overall survival. These predictive signatures are being validated at the individual patient level, with full transparency on the drivers of the prediction, with the aim of ultimately supporting clinicians to make informed decisions for their patients and supporting biopharma to ensure the right patients are selected for clinical trial.  We reported, at ASCO 2020, a third set of preliminary results, suggesting a predictive power of around 80%, which for us validates the potential of our multimodal approach in an international multicentric and decentralized setting.  This is highly important as similar multimodal studies are typically done at the single center level today, with strong limitations regarding the applicability and scalability of these models outside of that particular institution.  In this context, we are very happy to report that we continue to expand our DEEP-Lung-IV footprint with our multimodal algorithms, now also being exposed to data from Latin America through our collaboration with Dasa in Brazil, with in the process of activating several sites. There are currently 25 participating sites across the US, France, Italy, Spain, Germany, Canada, Israel, and now Brazil that have already signed up for participation in the study, with around 1,500 patients recruited to date. Through this intentional global footprint, we aim to maximize exposure of our machine learning algorithms to a wide range of diverse real world data. Additionally, this footprint exposes us to a diverse set of technologies that produce that data.  For example, in the imaging data modality, our SOPHiA DDM platform is exposed to thousands of medical images generated from different CT, MRI, and PET scanners from different manufacturers. This gives us the unique capability to offer harmonized and standardized analytics in imaging as well in a decentralized setting, further demonstrating our technology-agnostic market positioning as a data analytics platform.  We are not only working with our partner, GE Healthcare, in the context of the DEEP-Lung-IV study where GE's imaging fabric services are used to visualize segments and annotate lung lesions for medical imaging visualization and annotation proposals. This allows SOPHiA GENETICS to further accelerate proprietary radiomics analytics workflows in the context of the study, in particular to move towards automatic whole body tumor identification, segmentation and quantification.  In fact, from the DEEP-Lung-IV, we'll power one of the applications for multimodal purpose module of the SOPHiA DDM platform, offering advanced multimodal data visualization, coding and predictive capabilities in a single solution. We feel that the DEEP-Lung-IV study has the potential to usher in a new generation of precision medicine that would enable prediction at the individual patient level. We look forward to further validating our vision of building a multimodal decentralized collective intelligence, leveraging on real world data to generate novel insights at the individual patient level.  So, in total, I am happy to share that we continued to deliver on our commitments and make progress across all of our key growth drivers.  As I touched on earlier, reducing operating expenses is a key muscle we learned to flex in 2022. What became apparent to us as the global environment deteriorated since our IPO is how paramount our fiscal discipline is. With the intention to minimize any impact on our growth, we set at this challenge of operating expense reduction with a precision mindset.  I am pleased to report that, in each subsequent quarter of 2022, we were able to reduce our operating expenses, cumulating in the most significant improvement in the fourth quarter.  Our headcount stands at 466 as of December 31, 2022, down from a high of over 513. This reduction has occurred primarily through planned efficient and selective actions aimed at improving productivity. We intend to continue furthering our fiscal discipline and related liabilities regarding making the best use of our cash balance.  Based on our current trajectory, we remain confident in our capital position and continue to see sufficient runway to execute our ambitious growth plan. We continue to be responsive to the current operating and macroenvironment and remain laser focused on delivering sustainable growth.  Layered into our thinking on capital efficiency has been capitalizing on the commercial leverage of partners. Our mindset was rather than doing everything ourselves, with this partnership now in place, we felt we could leverage others to help us grow. I already spoke about MSK and you can understand how thrilled we are to other cancer center of their caliber trusting us with our technology and intellectual property.  In 2022, we continued strengthening our partnership with AstraZeneca, GE Healthcare, Qiagen and other existing collaborators. Through strategic collaborations, we spark innovation more quickly, increase the size and scale of our network, connect with a large volume of data and offer more capabilities than we could provide individually. I would like to take a moment to highlight one of these partnerships for you in detail. Microsoft. Microsoft brings to SOPHiA several intersecting points of leverage. We all understand that scale in the cloud is very important. And on that concept, Microsoft will serve us well as we demonstrate multimodal capability. Scaling the capture of multimodal data is no small feat. But with Microsoft as a partner, we will enjoy their support and significant infrastructure and capability.  Let me walk you through our first four months since announcing it in November. We have held strategic alignment meetings at high levels between the two companies, including operational steering committee meetings on commercial and innovation workstream. These meetings included Microsoft General Manager of Healthcare and Strategy, Microsoft Industry Lead for Healthcare in the US, as well as the Microsoft Senior Vice President for Strategy and Business Incubation.  The focus of our strategic collaboration with Microsoft is currently threefold, an increased CarePath scaled by Nuance + Microsoft to accelerate our DEEP-Lung-IV program, expanding our commercial reach and supporting our scaling the environment program.  I am pleased to report over 40 Microsoft sales person have been trained on SOPHiA DDM and ultimately will be selling to our target market. This is meaningful as Microsoft sales force will help amplify our presence in the market.  I would like to wrap up by reminding you of our six strategic pillars, which remain our focus for driving long-term growth and value creation for our customers, partners and shareholders at SOPHiA GENETICS. They are as follows. One, accelerating customer adoption and network expansion with new clinical customers with a focus on the US market. On this measure, we have discussed today our traction, highlighting recent wins with Synergy and University of Arkansas. I would also note of our DEEP-Lung-IV study, 6 of 25 current participating sites being in the US.  Two, increasing utilization within our existing customer base. Currently, 50% of our customers use only one SOPHiA application, 37% use two or three applications and only 13% use four or more applications.  Regarding utilization, I would also share that our top customers see growth faster than our smaller customers. It appears to us that adopting our technology enables our customers to take share in their respective market.  Three, further innovating our platform to increase our capabilities and house a growing portfolio of application and modules. We highlighted Memorial Sloan Kettering for you in today's call.  Four, developing key partnerships and collaborations to foster our ecosystem. On the topic of getting leverage from our ecosystem, we have highlighted to you our burgeoning Microsoft relationship. Five, leveraging our platform to further drive adoption with biopharmaceutical companies. Here, we have highlighted our existing developments with AstraZeneca.  Six and lastly, excelling operationally within SOPHiA, which we displayed through our improved operating loss trajectory, despite hitting our top line goals.  Regarding our execution against this pillar, paired with the momentum building with our partners, be that Microsoft, MSK, Qiagen and AstraZeneca, I feel more than excited today that these are the elements that will enable SOPHiA to do what we set out to do 11 years ago, to harness data from the global community to generate actionable insights that contribute meaningfully to patient care and patient outcomes that contribute meaningfully towards our customer success and that deliver outstanding performance for SOPHiA GENETICS in 2023 and beyond.  With that, I will now turn the call over to Ross to discuss our financial performance in more detail.
Ross Muken: Thank you, Jurgi. We saw continued momentum across the board in Q4 with superior execution and consistent operational discipline, setting us up for a strong end to the year. I was particularly pleased with our revenue performance in the face of significant loss and cash flow improvement, delivering on our commitments highlighted earlier in the year.  Total revenue for the fourth quarter of 2022 was $13.4 million compared to $10.9 million for the fourth quarter of 2021, representing year-over-year growth of 22%. Constant currency revenue growth was 36% and constant currency revenue growth excluding COVID-19 related revenue was 44%.  Platform analysis volumes were 71,000 for the fourth quarter of 2022 compared to 66,000 for the fourth quarter of 2021. The 8% year-over-year growth was attributable to strength in our core platform analysis volume, offset by the continued decline of our COVID-19 related analysis volume. Excluding COVID related volumes, platform analyses grew a healthy 18% year-over-year in the period.  Gross profit for the fourth quarter of 2022 was $9.6 million compared to gross profit of $6.8 million in the fourth quarter of 2021, representing year-over-year growth of 41%. Gross margin was 72% for the fourth quarter of 2022 compared with 62% for the fourth quarter of 2021.  Adjusted gross profit was $10 million, an increase of 42% compared to adjusted gross profit of $7.1 million in the fourth quarter of 2021. Adjusted gross margin was a record 75% for the fourth quarter of 2022 compared to 65% for the fourth quarter of 2021. Of note, while I'm pleased with our efficiency gains in the period, particularly on the hosting side, I will highlight a benefit of $1 million we recognized in the period related to the previously announced cloud optimization efforts.  Total operating expenses for the fourth quarter of 2022 were $24.7 million compared to $27.8 million for the fourth quarter of 2021. Total adjusted operating expenses were $22.1 million compared to $24.6 million in the fourth quarter of 2021.  R&D expenses for the fourth quarter of 2022 were $6.8 million compared to $6.4 million for the fourth quarter of 2021. Sales and marketing expenses for the fourth quarter of 2022 were $4.2 million compared to $8.6 million for the fourth quarter of 2021. General and administrative expenses for the fourth quarter of 2022 were $13.9 million compared to $13 million for the fourth quarter of 2021.  Overall, I am quite pleased with the progress we exhibited with respect to operating expense leverage in the period. However, I would like to highlight a few items that impacted reporting in the period. With respect to R&D expenditures, we did benefit from a credit related to our ongoing cloud optimization efforts, which was recognized in the period. Additionally, there was a modest reclassification of certain expenses from R&D to G&A that shifted certain expenses in the period. Lastly, there was a slight adjustment to employee related expenses in the quarter, which resulted in a modest benefit. Cumulatively, the impact on operating expenses was roughly a benefit of $900,000 in the period.  Turning to operating loss for the fourth quarter of 2022. It was $15.1 million compared to $21 million in the fourth quarter of 2021. Adjusted operating loss for the fourth quarter of 2022 was $12.1 million compared to $17.6 million for the fourth quarter of 2021.  Net loss for the fourth quarter of 2022 was $14 million or a loss of $0.22 per share compared to $21.4 million or a loss of $0.33 per share in the fourth quarter of 2021. Adjusted net loss in the fourth quarter of 2022 was $11 million or a loss of $0.17 per share compared to $17.9 million or a loss of $0.28 per share for the fourth quarter of 2021.  Turning to full year fiscal 2022 financial results. Total revenue for the full-year 2022 was $47.6 million compared to $40.5 million for 2021, representing growth of 18%. The growth in revenue was primarily driven by increased usage rates across our existing customers, favorable mix shift to higher price analysis, strengthen in HRD and our biopharma offering. Constant currency revenue growth was 32% and constant currency revenue growth excluding COVID-19 related revenue was 39%.  Annualized revenue churn rate was 4% of total revenue for 2022 as compared to the historic low of 3% seen in 2021 as a result of pent up demand due to the pandemic. Average revenue per platform customer for the full year was approximately $93,700 compared to approximately $92,000 for the prior-year period. Of note, this metric was significantly impacted by currency related headwinds over the balance of 2022.  Net dollar retention for the year decreased to 102% from 142% in 2021. Constant currency net dollar retention excluding COVID-related revenue was 123% as compared to 132% in 2021. Total recurring platform customers grew to 390 as of December 31, 2022, up from 382 as of the end of December 31, 2021 and 383 as of September 30, 2022.  With respect to land momentum, I am encouraged by the 63 new customers we have converted into our routine recurring base in 2022. However, on a net basis, recurring platform customer additions were modest than the prior year as we strategically decided to turn to smaller, more price sensitive accounts in certain regions. We expect this metric on a net basis to return to more historical levels of increase in 2023.  Looking to our expand momentum, we are quite happy with our NDR performance, and it provides us with a high degree of revenue visibility for 2023.  Gross profit for the full year 2021 (sic) [2022] was $31.3 million, an increase of 24% compared to a gross profit of $25.2 million for the full year 2021. Gross margin was 66% for the full year 2022 as compared with 62% for the full year 2021. Adjusted gross margin was 68% as compared with 64% for the full year 2021.  Total operating expenses for full year 2022 were $119.1 million compared to $96.7 million for the full year 2021. Total adjusted operating expenses for the full year 2022 were $104.3 million compared to $87.3 million for 2021. R&D expenses for the full year 2022 were $35.4 million compared to $26.6 million for the full year 2021. Sales and marketing expenses for the full year 2022 were $28.3 million compared to $28.7 million for the full year 2021. General and administrative expenses for the full year 2022 were $55.8 million compared to $41.5 million for the full year 2021.  Operating loss for full year 2022 was $87.8 million compared to $71.5 million for full year 2021. Adjusted operating loss for the full year was $72 million compared to $61.5 million for the full year 2021.  Net loss for the full year 2022 was $87.4 million or a loss of $1.36 per share compared to $73.7 million or a loss of $1.33 per share for the full year 2021. Adjusted net loss for the full year 2022 was $71.6 million or a loss of $1.12 per share compared to $62.3 million or a loss of $1.13 per share for the full year 2021.  Cash and cash equivalents were $178.6 million as of December 31, 2022.  Turning to our 2023 outlook. SOPHiA GENETICS expects reported revenue growth to be at or above 30% in 2023. Constant currency revenue growth excluding COVID-related revenue for 2023 is expected to be between 30% and 35%, in line with our previously highlighted long term expectations. Of note, we currently expect a headwind to 2023 reported revenues of approximately $1 million related to a ceasing of COVID-19 related contribution. This will equate to a headwind of approximately 19,000 analysis to reported volumes.  Furthermore, we would note that exchange rates remain highly volatile, but at the moment we anticipate a modest impact to reported results. With respect to the quarterly cadence in 2023, we would note that our clinical analysis volumes tend to exhibit the typical seasonality of patient utilization with usage building over the course of the year, the third quarter typically exhibiting stabilization and the fourth quarter being the largest contributor. With respect to our pharma business, we would note it remains in its nascent stages, and in turn it will be highly sensitive to new business wins.  Lastly, following on strong cost performance in the second half of 2022, SOPHiA GENETICS expects 2023 operating losses to be below 2022 levels.  Finally, some closing thoughts on our current capital position. I remain encouraged by the progress our team has made over the balance of 2022, enabling us to deliver strong revenue growth, while also making significant strides toward our long-term gross margin goal of 70% and our commitment to a path to profitability.  As a capital light software business, we will remain vigilant with respect to our headcount and indirect expenses, balancing our long-term growth against the need to become self-sustaining, all with an eye on long term value creation.  Based on our current trajectory, we remain confident in our capital position and continue to see sufficient runway to execute against our ambitious growth plans. We will continue to be responsive to the current operating and macroenvironment and remain laser focused on delivering sustainable growth.  With that, I'd like to turn the call back over to Jurgi for the closing remarks before we take your questions.
Jurgi Camblong : Thank you, Ross. We're extremely proud of our performance, which we believe reflects our continued ability to execute on our vision and the opportunity ahead. SOPHiA's success stand on our ability to delight customers and continue driving more and more usage of our platform. Our six strategic pillars remain our foundation to drive growth and value creation for this year, as well as the years to come.  I am encouraged and as confident as ever about the long term path that we are on. We have a fantastic opportunity to drive compelling returns and shareholder value.  After a successful and unforgettable 2022, our focus shifts to SOPHiA's future. I will share just a few thoughts looking to the near future with three key priorities for 2021.  One, in somatic oncology, we see both the clinical and biopharma market increasingly focusing on rare patient populations defined by molecular alterations that are more challenging to detect confidently. This includes alterations such as exon skipping events, fusions, partial copy number variations, or complex biomarkers such as HRD, as well as new modalities to detect those alterations, for example, through liquid biopsy.  Through our algorithmic capabilities to detect the signal from the noise and our global scale, we're uniquely positioned for growth in that segment, leveraging a wave of upcoming launches in the CGP and liquid biopsy space, notably through our collaboration with MSK, as well as new features in our SOPHiA DDM platform.  Two, in biopharma, we see accelerating traction across our offering, as evidenced by the recent expansion of our existing partnership with AstraZeneca to now cover our multimodal algorithmic capabilities applied to their oncology portfolio. This is a great example of how we leverage our land and expand model not only in the clinical market, but also in the biopharma market.  Three, in multimodality, we look forward to the official launch of CarePath module of our SOPHiA DDM platform, with the first application in the context of metastatic non-small cell lung cancer and other applications to follow, notably leveraging several external collaborations. We see high interest from biopharma to engage with our CarePath capability.  In closing, thank you to our partners, customers and investors for joining us on this journey. Without you, none of this would be possible.  Later today, we are presenting at the Cowen Healthcare Conference here in Boston. Feel free to join our webcast on that presentation from the link on the IR section of our website. And next week, we will be presenting at Barclays Healthcare Conference in Miami.  I look forward to continuing to update you on SOPHiA's future successes of democratizing data driven medicine.  Operator, you may now open the line for questions. 
Operator: [Operator Instructions]. The first question comes from Tejas Savant with Morgan Stanley.
Tejas Savant: Maybe I'll start with one for you, Ross, just on the guide. Help us frame that growth rate of about 30% here. How are you thinking about drivers of conservatism versus potentially upside levers that you're not incorporating in the guide?
Ross Muken: In terms of the reported guide, obviously, we gave you the core guidance, which, for the underlying business, is in line with our long-term growth rates we shared at the Analyst Day. And so for us, that's where we have a high degree of visibility, particularly relative to our clinical business.  If we think about the other pieces there, obviously, we talked a bit about FX, which has been bumping around, and today doesn't have a material impact. And then, obviously, the million dollars roughly of COVID related revenue that will roll off.  But as we think about the ability for us to sort of achieve our range, obviously, as I shared at the Analyst Day, and it continues to be the case given our business model, we have very high degree of visibility on forward 12-month revenues, right? That's quite true based on our contracting and our consumption based model. And so there, I would say, particularly in clinical, 90 plus percent visibility on forward results.  The element for us where you could see or continue to see upside is, obviously, in the biopharma business. There, we've had great momentum, and maybe I'll let Jurgi comment a bit on some of the trends and trajectory in biopharma. But that's really where you see much more quick burn and immediate sort of revenue contribution, where you'll see sort of a bigger sequential step up relative to results. And obviously, relative to what's included or implied in the guidance, it's what we have visibility on today. Obviously, we intend to be able to sell more biopharma business over the balance of 2023. But that business today is still quite nascent. And so, in terms of how we think about it relative to the guidance, we've been pretty conservative, I would say.  But, Jurgi, please, maybe just give some color there on biopharma, but I think that's the key one as we think about upside driver.
Jurgi Camblong: Tejas, as Ross said, [indiscernible] but we have a lot of opportunity. So, the growth is really related to existing customers who are consuming the platform. And given the low churn we have in the platform, we can from there have a good idea of how we're going to grow. First contract is like opportunities that now are going to move into the team. So on that one, we have a lot of visibility. On the biopharma side, we have visibility from some contracts we have signed, but as you can imagine, some of them can be quite decent. And so, this may be an add on to our revenue, but will depend on when they are contracted and how quickly we can execute them. Right?  And so, to give you some perspective, just right now, we really are being able to demonstrate the value proposition of SOPHiA in terms of network platform and data assets for the pharma around the strategy that we call 3D which is from discovery to development to deployment. We mentioned AstraZeneca being an important partner with whom we started on the deployment side. So, post market approval of PARP inhibitors, and now we are working with them on the discovery aspects, leveraging on the data we've gathered in particular in the context of the DEEP-Lung-IV study, but as well as the algorithms we developed in that context.  And just to give you some tendencies right now, Tejas, in pharma, we are engaging with the top 20 pharma in the world, and the trends we see and the appetite for SOPHiA are very much related to our decentralized operating model, our multimodal capabilities, and one thing that we have not yet disclosed, I would say intensively, but on which we are working, which are liquid biopsy capabilities, such as what we are doing with MSK-ACCESS, but as well MRD testing. So on top of what we highlighted to you in terms of guidance, indeed, we may have positive news from the pharma side that could increase our revenue growth in 2023 and beyond.
Tejas Savant: I know you've called out FX and some pandemic normalization on the churn and the net dollar retention metrics, but how did LTV to CAC look for 2022? Still trending above 3x or so?  Ross, I think you mentioned something about sort of strategic decision to let smaller price sensitive accounts churn. Is that now largely done? Or do you expect to do more of that over the course of 2023?
Jurgi Camblong: Before I let Ross answer to you on those specific metrics, indeed, it's the opportunity for me as well to remind that we had a strong growth in Q4 despite actually challenges with FX, even that most of our revenue is being borne in currencies which are not dollar and that we report our results in dollar. So, on Q4 2022, on a reported basis, we grow 22% versus Q4 2021. Excluding COVID analysis and excluding constant currency, we actually grow 44% in Q4 2022 versus Q4 2021. Right? So, strong growth.  And to your point, these FX headwinds are as well indirectly affecting some of our metrics like MDR and so on because they are being done on reported bases and not on constant currency.
Ross Muken: On the other two metrics, so LTP to CAC, that was around 4 times for the year, so still well above – that's signaling to us as well that those were – obviously, keeping our customers, we're growing them effectively, and our cost of acquisition, which is obviously important as we think about path to profitability, remains quite attractive.  We actually recently added a new head of marketing from outside, actually, from the technology space. And I'm pretty excited about what he could bring to the table as well to be able to accelerate particularly on the land. I think there – obviously, there's still a lot of places, particularly in NorAm, but also in other parts of the world where there's quite a lot of opportunity. So, again, we're really looking for sustainable growth. And that's a sign that we're still doing that in quite a healthy way. 
Tejas Savant: And the customer churn? The deliberate customer churn, Ross, any thoughts on that? Is that sort of done now?
Ross Muken: I would say, for the most part, right, so some of that is related to COVID. So, if you think about some of the small customers that started in next gen sequencing, so they use a grant to get a sequencer, they began in COVID, and had hoped to transition to oncology or rare disease or others, some of them didn't make it, I would say. Or some of them weren't able to shift. And so, ultimately, there, we obviously allowed some of them to leave.  And then, you can also think of areas like Turkey which we've called out, which has obviously been a pretty challenged specific country and region for us, where there was pricing in that country that just for us, fundamentally, didn't make sense relative to the long term of the business. And so, we allowed some of those accounts to churn. But again, they're quite small, so nothing notable in there. And so, we feel quite good of where ultimately we shook out. 4%, still on the churn rate for a software business is incredibly impressive. And so, despite some of that noise, I'm still quite happy with the delivery. And we're going to continue to balance this over time in regions where we see pricing that doesn't make long term sense. As you can see, it's very hard to sustain a profitable model if you continue to price at levels that are unsustainably low. And so, we're not going to chase that. And I think we've looked at the competitive landscape and you know some of the businesses, and so that's not a trap we're going to fall into.
Tejas Savant: One final sort of big picture strategic question for you, Jurgi. We've had some internal disruptions at some of these CLIA labs. We've also had the situation where the cheapest sort of NGS costs are only accessible to the highest throughput settings. So there's a strong incentive at play for consolidation of volumes at these large sort of facilities. How does that impact your go-to-market strategy here? And does the fact that vendors like Illumina are now focused on informatics onboard with their new instruments impact the value proposition for DDM?
Jurgi Camblong: First, to remind where we stand today, remember that our strategy is a land and expand model. We already [indiscernible] 90 recurring customers of SOPHiA. In total, our network is 750 plus customers who already today are being equipped with sequencers, out of which 390 are using SOPHiA DDM every month. And those 750 and 390 using SOPHiA every month are already equipped with sequencers.  And so, as you may remember, we worked significantly with the expand of our customers. And in the expand, we grow by adding more application, more menu to the utilization they made about SOPHiA. So, for example, moving from solid tumor to hereditary cancer, and then to liquid biopsy and then to [indiscernible]. Today, only 50% of our 390 recurring platform customers are using one application at SOPHiA. 37% are using two or three application. And 13% are using only four or more applications. So, what I'm trying to tell you is that despite what you observe or what you have heard about, we already there in place and we can grow with these existing customers.  But aside that, I would say that we don't see the same dynamics actually suggest we see more and more decentralization. And I don't know where you've got those messages. But in that context, we just signed Synergy, which is a reference lab in the US, we signed University of Arkansas, which is another academic center that we announced in our earnings today.  So, this is a trend that we continue seeing. I was traveling last week in Colombia and Brazil. I can tell you that volumes are going up because sequencing is getting cheaper and cheaper, and will get cheaper and cheaper because of competition. I was in a site where, actually, in Brazil, today, they have seven sequencers out of which four Illumina, two Thermo Fisher and 1 NGI.  So I think we are ourselves in a very good position to be able to leverage on having more and more people adopting sequencers and having actually volumes higher end sequencing price cheaper is better for us, right? Because it means that people are going to produce more data; and by producing more data, it means they're going to consume more of the SOPHiA DDM. So, we're very encouraged with the current trends we see in the market.
Ross Muken: On Illumina, in terms of onboard, obviously, that's been a trend for them for some time. Obviously, they're a formidable company, and one that, frankly, in the context of the universe, we are quite synergistic with in terms of growing NGS clinical volumes, which is one of their main goals as well. I would say, putting it onboard is certainly a strategy for them. I'm sure that makes sense. But the reality is what we're trying to animate in the industry in terms of a decentralized network across many different players sharing information across all technologies, all types of reagent providers, et cetera, and across all modalities, it's just a fundamentally different strategy. Right?  So, I think on the research side, I understand why someone may prefer something as simple as an onboard bioinformatics with their sequencer. But I think in the clinical space, where, again, this idea of data sharing and collective intelligence globally is really gaining momentum, for us, we feel quite comfortable with our position, and I think all of these players, frankly, can coexist in a nice way and, frankly, just continue to grow the market overall quite effectively.
Operator: The next question comes from Rich Hilliker with Credit Suisse. 
Richard Hilliker, Jr.: Being that as the topic right now, I was wondering if you can give us a sense of how you imagine generative AI enhancing the platform as we iterate from here.
Jurgi Camblong: Your question was about general AI. Right? Is that correct? 
Richard Hilliker, Jr.: Open AI. There's a lot of use cases. Yeah, exactly. 
Jurgi Camblong: Look, in our story, AI has been there at the heart since beginning because, as I was just explaining to Tejas, in our customer sites, there is a lot of heterogeneity. They use different sequencers, they use different consumables and so on. And so, one has to build algorithms on the basis of pattern recognition, deep learning, and machine learning to be able to digest those data and correct them, normalize them, be able to see the signal and by doing so, bring accurate data, so that hospitals could take more informed decisions.  We see that trend as well in other data modalities. That's now we are going multimodal. And in that aspect, I would say, AI related efforts will be extremely important in my opinion on anything which is clinical data. And in particular, any clinical data that are being today gathered into documents or in HR systems, where I think AI techniques and open AI techniques will be applied to basically gather those data in a more sophisticated, more, I would say, precise form and be able to bring this comprehensive information to an individual. So, for us, a pathologist, a geneticist, without swamping, if you like, these people with too many information, but really bringing them the precise information that is consistent, and that is important to take actions on this patient in the context of many other patients.
Richard Hilliker, Jr.: Just quickly. Ross, congrats on the COO promotion. Wondering if you can share maybe a couple of your top priorities. Obviously, you're very familiar with the business as it is, but maybe a few things that you'll be focused in on initially, and then that's all for me. 
Ross Muken: I would say, in general, my priority set in terms of my new functional role is not too different from what we've been focused on as an organization overall. So, obviously, we've got a very large market opportunity in front of us. And we've got to execute against it. And we've got to execute against it in a sustainable way with the capital that we have. And so, in that, I'm personally very focused on how do we accelerate our land, particularly in North America, and how do we get, ultimately, this market to the place where we think it can be. And again, we're seeing a lot of really good green shoots and momentum there. But there's still a lot more to be done in North America. I also think as well on the biopharma side, we're just scratching the surface. Tejas asked us about upside drivers. There's a lot of momentum there. The gentleman who runs that business for us, we've had him on the call before, he's doing a tremendous job. And I think we can really move the needle.  And then, lastly, on the partnership side, we've got fantastic momentum with Microsoft. Jurgi also talked about Agile and Qiagen, which are great partners for us. We obviously have spent a lot of time on MSK. And so, making sure we get returns and momentum out of that is crucial.  And then, lastly, being able to do all of that with what we have. I'm proud of what our team was able to do in terms of operating a net loss this quarter. We've made huge strides. As a European entity, it takes us some time, obviously, to sometimes display that sequential operating loss improvements that we're looking for. But, certainly, we're getting more productive, we're getting more efficient, we're getting more focused, and being able to execute on those items without adding headcount and without adding significant indirect costs, that's where we're really focused and what I'm focused on.
Operator: The next question comes from Mark Massaro with BTIG. 
Mark Massaro: Congrats on a strong 2022. My question is for Jurgi. On the DEEP-Lung study, I appreciate all of the detail. I believe you've enrolled 1,500 patients. How many more patients do you expect to enroll? When do you think that study will wrap up? And when do you think we can see another interim readout?
Jurgi Camblong: Indeed, just as a reminder, that the study we launched in 2020 at RSNA, and basically, in a year-and-a-half time, now we've been able to onboard 25 sites around the world on this multimodal journey, out of which six in the US. And we've been able to follow launch journey 1,500 patients, having molecular information, so genomic data, imaging data as well as 200 clinical data points. So, which is pretty awesome in terms of how quickly we've been able to operate that.  Now, we have said that, when we started the study, that this would be a retrospective study on 4,000 patients. So this can give you a sense of how many patient data we're going to gather this year. So, should be around 2,500.  And beyond that, we are thinking – so this is still very premature, but as well as considering prospective studies, right, but we would first have to disclose the retrospective data, which I think we're going to do as well in the next oncology conferences we're participating at.  Overall, I would say, Mark, we're very excited about it. Because when we went public, there was some expectation on us, of course, hitting the numbers, about demonstrating we're compatible with the US market for genomics, demonstrating we could penetrate the pharma, but that will demonstrate the market that we could go beyond genomics, right? And with what we did DEEP-Lung, building CarePath, now we are in this unique position where we can gather other data together with genomic data, we call these data layers phenotypic data.  And I can tell you, as I was commenting to Tejas, while traveling last week in Colombia and Brazil, in any meeting, I ask people [indiscernible] the genomic data to get access to CarePath to be able to follow the patients they are analyzing, either in cancer [indiscernible]. So I think, here, we have to be now very disciplined on executing the plan and beyond. And this is where we count a lot on our partners like GE. We mentioned what we're doing with them on the imaging fabric side, as well as Microsoft where we are working together on being able to gather clinical data at scale in a decentralized way. It's really exciting, Mark, by the way. This is why we build SOPHiA.
Mark Massaro: It's a great use case of your multimodality. So definitely look forward to the next dataset, readout. My last question is for Ross. Great to see the gross margins come in above 70%. 2I think you've already exceeded your 2025 goal. To what extent is that a level that you think you can maintain here in 2023? Or do you see now perhaps potentially higher gross margins as a long term goal? Finally, on the contribution between volume and price and mix, how should we think about the levers to hit your 30% revenue growth this year?
Jurgi Camblong: Thank you for highlighting that because this doesn't come with a lot of discipline and a lot of work. And before I let Ross give you some more color on what you asked, I would like to highlight that this is not by chance, right? We've been super disciplined on headcounts, we're being super disciplined on indirect expenses, systems, professional services, public company costs. We have been working as well on major cloud savings, not only by better negotiating, but by improving as well our code, so that the code would be running more efficiently in the cloud, and this would cost us less. And then, we have been focusing as well on projects, maybe not doing some projects that were interesting, but really focusing on higher impact projects with a higher ROI.
Ross Muken: Mark, first, on the gross margin side, I would say, certainly, relative to our performance in the quarter, I'm very proud of the team. We had fantastic execution. We did benefit in the period – I did call out a credit related to our compute and cloud spend that was recognized in the quarter. So it did add a couple points to the gross margin line. That being said, even excluding that benefit, the performance was really strong. So, obviously, we're very focused on being able to drive best-in-class margins, and that remains a focus. And, obviously, I would say the work we've done on the cloud side continues to be a huge focus.  Now, going forward in terms of how to think about sequential margins, I'm not going to give specific guidance, but I think you can certainly look at that call-out in terms of the benefit in the period and then adjust as you think about your cadence into Q1 and the rest of the year. But, certainly, our goal is to be able to sustain margin certainly north of 70%. We, obviously, thought of it at the time without knowing all of the drivers by 2025. Certainly, we hope to get there sooner on an annual basis as, recall, for this year, we ended at 68%.  I would say in terms of going forward business mix and also a bit of our strategy will sort of dictate the pace, but we're trying to have, I would say, more consistent expansion on the gross profit or gross margin line. And we've benefited from price in this environment, et cetera, as well, but certainly some of it will also depend on mix and also our decisions driving volume in some of our newer areas.  And so, I would say stay tuned. Our goal is certainly to be able to deliver for this metric in terms of 70% in the near to medium term versus maybe 2025. But, certainly, our ambition is to also drive best-in-class overall margins for the business and also hit on our revenue growth targets.  And so, maybe just quickly on revenue, you saw us on an ex-COVID basis, volume growth has been at the high teens. I think in that range, maybe a touch higher makes sense as you think about the clinical business for next year. Pricing, we did take another price increase in the beginning of the year that will add low-single digits. And then, we also have the continued expansion of our ASPs, which, this year, I would say, despite currency, were obviously quite good.  Again, in terms of the drivers, the underlying levers to us are quite visible. And the one piece we obviously couldn't solve for this year was FX. Obviously, we hope that calms down, but other than that, that's sort of the mix of it. And then biopharma, obviously, you'll see impacting the ASPs in the way you will look at the model and so forth. And so, to the degree we do see upside there, that's where it will come versus the pure analysis volume.
Jurgi Camblong: I would add, Mark, that, obviously, gross margins are very important because they reflect the sustainability of the business. And SOPHiA, which in English stands for wisdom, was not only there to bring sustainability in healthcare, making sure that data of patient today can be used to help this patient, but also leverage, so that we can further help the patients tomorrow. But in that context, of course, want to build as well an economical model that is sustainable for the long run. And in that sense, I want to highlight as well our current cash position and also December 31 2023, we were standing with $178.6 million in cash in bank.
Operator: The next question comes from Julia Qin with J.P. Morgan.
Marta Nazarovets: This is Marta Nazarovets on for Julia. Congrats on the quarter. I just had a quick question. So compared to 2022, what are your expectations for the customer base in terms of geography and then also in terms of clinical versus biopharma?
Jurgi Camblong: As you may remember, we are today in 70 countries. So we're already global. We started in Europe, hence our presence being more dominant in Europe. But since then, we've been very nicely growing everywhere. And I think, today, we have demonstrated that our model was working in any country.  I just mentioned some deals we announced recently with Synergy in Alabama, Mobile being one of the examples of reference labs that can work with us. I mentioned as well the University of Arkansas. This, I think, gives you a color on where we were trying to get more focused. So, definitely, we are growing everywhere. But we have been growing more quickly in average in Northern America. So we've been growing over corporate average in 2022. And this is a trend that we think should accelerate in the next few quarters and years.
Ross Muken: In terms of the mix of clinical and biopharma, obviously, we don't separate as of yet, given just the nascent stage of biopharma. But as I stated to Tejas' question, obviously, we've got very high degree of visibility in the clinical business. So you can see our growth expectations for the year and look back to what I said at the Analyst Day, and so I don't think there's any shift in our view of what clinical can deliver, I think, frankly, it could possibly accelerate from there. But that will take us to – continue to, I would say, improve execution in the US.  On pharma, I'm super proud of the team. This was really a transformational year for us on the biopharma side. I'm very optimistic around what we will see in 2023 from that team. But just remember, again, those tend to be longer sales cycles, just given the size of the business. And then, again, the burden might be a bit quicker, but still it takes some time to kind of contract and sign. And so, in terms of contribution, I would say, certainly, look toward the second half of the year in terms of the next level of inflection on the biopharma business. And then when it gets to size, where it makes sense from a disclosure perspective, we'll start sharing that revenue for you, but today is not at that size where that would make sense.
Jurgi Camblong: Maybe, Marta, just to end on your question regarding the territories, as you know, SOPHiA sells to local partners. So, we're very proud to announce the partnership with Qiagen this quarter. Actually, Qiagen is going to combine their QIAseq consumables with SOPHiA DDM. And so, if you see where Qiagen is present as well, which is even broader than SOPHiA, this can give you a sense of where we expect to grow as well as partners.  And beyond that, Microsoft, right? So, we have a decent, I would say, sales team, but obviously not a sales team which is as broad and as big as the one of Microsoft. And so, there, in particular, in the US, we're making a strong focus on expanding our market penetration. So, the landing of SOPHiA DDM together with Microsoft.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Dr. Jurgi Camblong along for any closing remarks.
Jurgi Camblong: Yes, thank you all for joining us in the call today. We're actually very excited with what SOPHiA has been able to achieve in overall 2022 and even the acceleration in Q4 2022. So stay tuned.  We will be today at the Cowen Healthcare Conference, next week in Miami at the Barclays conference. And we're going to report our Q1 numbers in May. And we will, while we are making progress as well, keep you updated on anything that is important and the good traction that we're adding overall around the world. Thank you for the call today. Bye now.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.